Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I would like to welcome everyone to the Anaplan’s Third Quarter 2022 Fiscal Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions].  Edelita Tichepco, you may begin your conference.
Edelita Tichepco: Good afternoon. Thank you for joining us on today's conference call to discuss Anaplan's third quarter fiscal year 2020 financial results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Vikas Mehta, our Chief Financial Officer. On today's call, we will review our third quarter fiscal year 2022 financial results and discuss our financial guidance for the fourth quarter and fiscal year 2022. Please note that some of the information discussed on the call, particularly our guidance, is based on information as of November 23, 2021, and contains forward-looking statements that involve risks uncertainties and assumptions, including those related to the continued impact of COVID-19 on our business and global economic conditions. The guidance we will provide today is based on our assumptions as to the macroeconomic environment in which we will be operating. Those assumptions are based on the facts we know today. Many of these assumptions relate to matters that are beyond our control and changing rapidly, including but not limited to the scope and effectiveness of precautionary measures designed to contain and prevent the spread of COVID-19, the continued impact of COVID-19 on customers' purchasing decisions and the length of our sales cycle, particularly for customers in certain geographies.  Please refer to documents we file with the SEC, including the Form 8-K filed with today's press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented during this call may not be current or accurate. We will also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated during the call, all references to our gross margins, expenses and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our website. And with that, I will now turn the call over to Frank Calderoni.
Frank Calderoni: Thank you, Edelita. Good afternoon, everyone, and thank you for joining us today. We delivered a solid quarter driven by healthy deal volume, pipeline growth and increasing interest in our platform. Our Q3 revenue grew 35% year-over-year, and we saw 67% of new bookings from existing customers. We now have over 1,800 total customers, which includes half of the Fortune 50. And we continue to invest in innovation that positions Anaplan as the preferred enterprise planning platform of choice. From a new customer perspective, we grew over 50% year-over-year and welcome customers such as GMC, Esure, A10 Networks, [Keeling], Financo and All Value Holdings. They represented a wide range of industries from insurance, financial services and professional services to retail and technology. One of our new customers is Royal London Asset Management, which is a leading fund management company in the UK. In response to the company's impressive growth and new regulations around profitability reporting, they needed a robust and flexible platform for revenue and assets under management analysis. Anaplan offered enhanced reporting capabilities, ability to run scenarios and fast calculation performance using granular data. I'm also pleased to share that one of our partners is a customer as well. Deloitte in the U.S. and Canada has selected Anaplan to enhance their financial planning processes to increase time spent on strategic analysis over process management. Our customers are quickly realizing the value of our platform. In fact, our newest customer cohort from a year ago has increased its initial ARR over 30%. Companies continue to expand with Anaplan for their digital transformation to support its finance evolution and drive business agility, a multinational food company leveraged Anaplan. They chose our platform for its scalability, performance, flexible scenario modeling and partnership with Google Cloud. This customer will connect operational planning with financial outcomes to drive productivity gains and cost savings, eliminate duplicate systems of record, and identify rapidly market opportunities. Another expansion this quarter was with Equinix, the world's largest digital infrastructure company and long-time Anaplan customer. In 2016, Equinix began its planning transformation journey with sales performance management. A year ago, in response to strong market demand for data center capacity, they expanded into supply chain and procurement planning. Last month, Equinix selected us for their workforce planning initiative to prepare for a labor force at the right cost and time. In addition, our long-time customer, VMware, expanded this quarter to sales segmentation and finance. Integrating more of their planning across the company demonstrates greater agility and precision, which leads to better outcomes. Finally, a French manufacturer, [So CP Vick] began their Anaplan journey with FP&A in 2019. They expanded into supply chain with S&OP and demand planning. [Vick] will leverage Anaplan for its trade promotion planning to maximize performance across product lines. They will manage promotions at aggregate and detailed levels in a single environment, providing better visibility and flexibility to optimize plans. With these land-and-expand examples, the common element is how customers are leveraging planning as a competitive advantage. They understand the need for strategic planning across their enterprises. And we are helping them with our investments in partner ecosystem and customer success as well as our expand motions. Our retention rate was the highest it has been in 9 quarters. And with customer loyalty comes an increasing need for Anaplan resources. Our ecosystem of certified Anaplan experts continues to grow, with the total number of certified model builders increasing 84% year-over-year. We also capitalized on our cloud partnerships. These relationships have been instrumental for us to scale quickly. And this quarter, we launched Anaplan on Google Cloud in Japan. This technology partnership enables our customers to quickly deploy and access Anaplan on Google Cloud platform infrastructure with low latency adherence to data residency and access to AI and ML capabilities. GCP in Tokyo launched with our first customer, a leading financial services institution. Overall, I am excited about the market opportunities and the feedback from our customers about how our innovative platform is solving their complex challenges. Being the leader in the planning space continues to work in our favor. To further extend our lead, earlier this month at Anaplan Live!, we introduced the Anaplan Autonomous Enterprise. 5 years ago, we disrupted traditional planning and pioneered Connected Planning. This was validated by Gartner's market guide. Now we are experiencing another paradigm shift. Today's environment is in constant change, supply chain disruptions, the future of work, inflation, et cetera. As organizations operate with distributed teams, they need a dynamic planning solution. This requires a real-time, scalable intelligent approach to plan, analyze and act. Anaplan Autonomous Enterprise starts with modeling and accessing external data to make real-time decisions, which we integrate into our platform via Anaplan CloudWorks. This is an easy no-code feature that enables business users to import data from many sources, including Amazon Web Services S3, Azure Blob storage and Google day query. Together with our partner ecosystem, more than 250 enterprises have already embraced CloudWorks, and they have executed more than 32,000 integrations. Next, we extend our platform with embedded intelligence capabilities like Anaplan PlanIQ with Amazon Forecast. This joint effort provides our customers with automated easy-to-use intelligent forecasting using Amazon AI ML capabilities. After that, we simplify the most complex problems across the largest enterprises with scale. We recently introduced Anaplan Polaris, our next-generation calculation engine with unparalleled multidimensionality, including exceeding 10 quintillion cells while efficiently managing sparsity. Early access with select customers is underway, and we expect to make it generally available in 2022. Our Autonomous Enterprise strategy is simple: develop the most innovative planning platform to power the fastest decisions. With this investment in the next stage of planning, I am confident we can further our customer success with greater agility and intelligence within one sophisticated platform. In summary, we are well positioned with our go-to-market and product efforts, especially as we head into our biggest quarter. We couldn't do this without our talented employees. And I'm also proud that we have been recognized on Inc's inaugural top 250 Best Led Companies list for 2021. Thank you to our employees for making Anaplan the company it is today. Now let me turn over the call to Vikas, who will discuss our third quarter financials and provide our outlook for the fourth quarter and fiscal year 2022 as well as a preliminary guide for fiscal year '23. Vikas?
Vikas Mehta: Thank you, Frank. I'm pleased to report our third quarter results. We beat the high end of our revenue, billings and operating margin guidance. Total revenue was $155 million, up 35% year-over-year. Within this, subscription revenue grew 33% and comprised 90% of total revenue. Service revenue of $16 million was 10% of the total which is within the expected range. From a geographic perspective, international operations, which we define as our EMEA and APAC businesses, represented approximately 45% of total revenue. We saw broad-based year-over-year growth across all regions, with Americas revenue up 34%, EMEA up 36%, and APAC up 41%. We had healthy new customer growth, deal volume and strong renewal rates. Our linearity improved sequentially. This quarter, we had fewer deals over $1 million compared to last quarter. Given the longer enterprise sales cycle, we expect variability in the timing of large deals as we have seen in the past. We now have 528 customers with ARR over 250,000 representing 27% growth year-over-year. Additionally, the number of customers with ARR over 500,000 and 1 million increased 32% and 39% year-over-year, respectively. Dollar-based net expansion rate, or NRR, was 119%, demonstrating the customer need to extend planning to other areas beyond finance. In addition to delivering year-over-year growth in the volume of expand deals, customer retention rate remains healthy. Looking at our performance metrics, calculated billings for the third quarter was $183 million, up 26% year-over-year. The remaining performance obligations, or RPO, exiting the third quarter was $923 million, up 25% over last year. The current portion of RPO that is expected to be recognized as revenue over the next 12 months is $490 million, up 28% year-over-year. As discussed last quarter, we expect to see continued variability in calculated billings and CRPO bookings growth rates based on differences in the timing of billing versus booking, early renewals and off-cycle renewals. We recommend looking at both billings and CRPO bookings metrics on a trailing 12-month basis, which will help normalize for these timing differences. On a trailing 12-month basis, billings grew 32% and CRPO bookings grew 30% year-over-year and is a clearer indicator of the underlying growth in our business. Turning to margins. Total non-GAAP gross margin was 75%, less than 1% lower year-over-year, driven by higher services revenue mix and investments in our data centers and public cloud. Within this, subscription gross margins were 83% and services gross margins were approximately 4%. Over the near term, our gross margin will include the initial impact of a gradual increase in the cost of hosted services to reflect the impact of ramping our public cloud usage. Non-GAAP operating margin for the third quarter was negative 4.4%, reflecting an approximately 1% improvement compared to negative 5.3% in the same period last year. Operating margin beat our expectations, reflecting solid revenue results and shifting of expenses from Q3 to Q4. Net loss per share in the third quarter was negative $0.05 based on 147 million weighted average shares. Turning to the balance sheet and cash flow. Free cash flow for the third quarter was negative $1 million, and we exited the quarter with $312 million in cash and cash equivalents. Moving to our outlook. We expect fourth quarter fiscal 2022 revenue in the range of $154 million to $155 million. Within this, we expect subscription revenue to be approximately $143 million and services revenue to be in the range of $11 million to $12 million. And we'll continue to manage services revenue within our target range of approximately 10% of total revenue. Non-GAAP operating margin for the fourth quarter is expected to be in the range of negative 10% to negative 11%. Billings for the fourth quarter are expected to be in the range of $213 million to $214 million. This implies a year-over-year growth rate in the range of 23% to 24%. Looking at billings from a trailing 12-month basis, the midpoint of our Q4 billings guidance would represent 28% year-over-year growth. As mentioned last year, billings in Q4 of the prior year included a 4-point foreign currency tailwind as well as a large upfront payment for a multiyear contract, which was a 3-point tailwind. As you can see, there is a lot more behind the billings metric, and understandably it can become confusing. As a reminder, we introduced billings as a guidance metric at the beginning of FY '21 due to the uncertainty of the environment. We withdrew the annual revenue guidance and started providing billings guidance as an interim practice. Now almost 2 years later, we believe this is a good time to replace quarterly billings as a guidance metric. We believe CRPO reflects the underlying operating growth and is a better leading indicator than billings. It normalizes timing and duration noise that can impact quarterly billings. Next quarter, we will start providing quarterly CRPO guidance for Q1 FY '23. For the full year, we are raising revenue guidance to be in the range of $583.5 million to $584.5 million, up from $571.5 million to $573.5 million. We expect non-GAAP operating margin for the full year to be 50 basis points better than our previous guidance, in the range of negative 7.5% to negative 8.5%. Finally, weighted average share count for the fourth quarter and fiscal year is expected to be approximately 148 million shares and 146 million shares, respectively. While we have yet to conclude our fiscal year 2023 planning cycle, we would like to provide a preliminary view as we remain confident in our long-term ability and the value that we bring to our customer base. As such, we are currently planning for preliminary fiscal year 2023 revenue of $730 million, representing 25% year-over-year growth. We continue to monitor the pace of global recovery and the impact labor and supply chain shortages could have on our customers. We remain focused on helping them deliver productivity gains a critical focus for businesses as we operate in an inflationary environment. In summary, with our vision for the Autonomous Enterprise, we are uniquely positioned as the leading enterprise platform that empowers businesses to turn constant change into a strategic advantage. Frank and I thank our employees for their hard work and commitment as we look ahead to closing out this fiscal year.  With that, let's now open it up for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Kirk Materne with Evercore.
Kirk Materne: Frank, I was just wondering if you could start by talking about sort of the -- I guess, the bookings this quarter. Obviously, I think the quarter on a revenue basis was strong. But I think given the aftermarket reaction, there's some that would view sort of the billings number is maybe a little bit weaker than expected, given the professional services outperformance. So can you just walk through that? I know Vikas walked through some of the permutations that impact that. But from your view, how do you think the quarter went from an execution perspective?
Frank Calderoni: So Kirk, thanks for the question. Let me start -- let me just give an overview on the quarter. And then I'll turn it over to Vikas to kind of go through a little bit more on the billings for your question. If I look back over the third quarter, as we said in the prepared remarks, we had healthy deal volume, and we also saw improved linearity quarter-on-quarter. We also had, and I would say I really feel pleased with this, new customer growth in the quarter. Just a couple of additional highlights I'd put about the new customer growth. As far as our net new lands in the third quarter, as we said, we saw a 50% increase year-over-year. This is the highest quarterly growth of additions that we've had in 11 quarters. And it's also the highest overall customer growth when we look at this, if you look at total customers in the last 6 quarters. And then also as we mentioned, if we look at the FY '21 cohort, so the new customers, the new lands that we had last year, so far we've seen a 30% expansion of ARR for them in this current fiscal year. So it really kind of shows that as we bring on these new customers, we're able to convert them pretty quickly to realizing additional benefit with Anaplan. Going on a couple of more points I just want to mention before I turn to Vikas. Healthy expand, I know we had a healthy expand business last quarter. We continue to see healthy expand this quarter with NRR at 119%. And the other thing which we called out is strong renewals. It was a high renewal rate in the third quarter, and it's the lowest churn that we've had in 9 quarters. So again, some good performance across the board, and we feel good about let's say, the guide that we provided for Q4. If you look at Q4, we're looking at a healthy pipeline. We see larger transactions in the pipeline as we're looking at Q4 in Q4 right now, and I would say they're in later stage. We're focused on linearity again this quarter to make sure, especially with the holidays in the middle, to make sure that we can have a good linearity projection throughout the next few months. And also we have, which typically is in the fourth quarter, higher productivity as we close out the fiscal year. And then we continue to see strong demand from our customers and partners. So good feedback, I just want to provide as we look at Q3 and as we go into Q4. And now Vikas, you want to talk about the billings?
Vikas Mehta: Absolutely. So thanks, Kirk. And just building on, Frank, your commentary, so what we typically see is that our deals are -- generally takes 6 to 12 months in terms of sales cycles. And that is why we have recommended looking at trailing 12 months as a much better indicator of the underlying growth. We talked about that in the prepared remarks also. But if you look at it from that perspective, our billings growth was 32%, and our CRPO bookings growth was 30% on a trailing 12-month basis. So overall, pleased with the results, and we remain confident and -- in terms of our pipeline and the outlook. And that is the reason why we even raised our guide going into FY '23 as well as ending the year FY '22.
Operator: Your next question comes from the line of Raimo Lenschow with Barclays.
Raimo Lenschow: First, Vikas, thanks for that move towards CRPO. That should take a lot of the noise away. Frank, a question for you. If you -- we talked about the 6- to 12-month sales cycle there now. And we talked about like new customer business getting better, expansion getting better. Can you talk a little bit about the evolution of your pipeline, especially around the top of the funnel, how that changed this year actually coming out of transition? There's a lot of talk about digital transformation, et cetera. Do you see that in terms of new customer engagements getting better, people talking about more broader projects, et cetera? Like just trying to understand how all this is evolving for you. And then I have one follow-up for Vikas.
Frank Calderoni: Sure. Raimo, that's a great question. I'm glad you brought that up. And as I said before, a big part of what I do on a regular basis is reach out to senior leaders, either existing customers or new prospects that we're looking at. So I get a great opportunity to talk to CFOs, CIOs, CEOs. And I would say that the -- especially this year, the #1 objective that they're all concerned about is just all that what is going on in the marketplace is how do they plan and how they get more information so that they can make better decisions, respond faster, have the agility. And so they're much more interested now more than ever to really engage with myself but also others on the team and talk about how they are going to transform. I'd say as far as to answer your question as far as the pipe, we are focused on building with our partners as well. We are focused on building pipe in early stage and then seeing that pipe progress throughout the 5 stages. We've continued to make progress every quarter this year, including where we currently stand. And as I just mentioned a few minutes ago as far as how we feel about the healthy pipeline we have going into Q4. And we've been aggressively working on with our partners how best -- and our customers, how best to bring them through that process. You mentioned the 6- to 12-month cycle with enterprise customers. That is a standard cycle that they go through as you get them into an early stage, let's say, stage 1 and progress through the 5 stages. But I feel good about how that's been progressing primarily around transformations and finance, but also more extensively how they're trying to connect their financial processes with other parts of the business. And that's the strength that I think Anaplan brings with the Connected Planning and how we differentiate ourselves in the marketplace. And so the more that I think we can continue to do that, and then we can get customers, some of which we just announced on the call, customers like VMware who's been a customer of ours for several years and is continuing to expand, or Equinix. We've had a few deals even in the second quarter -- the third quarter, I mean, that were over $1 million, one of which was several million dollars. So we're seeing the level of investments that our customers are making in their transformation journeys. And I think that's a great sign. And as we think about going forward, I think that will continue to be important as customers think about what more they need to do to be agile in their in the business and drive the right type of change to the need.
Raimo Lenschow: Perfect. And then one quick one for Vikas. If you think about gross margins, obviously using the public clouds will kind of create some pressure there. Like where are we on that journey in terms of trying to model that going forward?
Vikas Mehta: Yes. Thanks, Raimo. And first of all, thanks for your positive feedback on the CRPO metric. As we think about the gross margin and the investment in cloud, first of all, we are broadening the customer choice. And we are already seeing it resonates really well with our customers. As we think about the journey, I would say we are still in the early phase of the shift to the public cloud. And we will continue to see parallel costs as we do our initial onboarding. And over time, we'll start seeing economies of scale and improvement in terms of overall cost profile there. So overall, we feel confident about the economies of scale and the ability to offer our customers broader choice
Frank Calderoni: If I could just add on that, I mean the key thing we talked about it last quarter and we mentioned again this quarter, we're already starting to see some traction with our cloud infrastructure providers now just going live this month with AWS in the U.S. and having already gone live several months ago with Google Cloud in the U.S. and now Google Cloud in Japan. So that's starting to increase, going back to the question that you had before, allowing us to now also increase the pipeline of opportunities with those cloud providers.
Operator: Your next question comes from the line of Taylor McGinnis with UBS.
Taylor McGinnis: Just going back to the large deal activity that you talked about earlier and potentially that being more 4Q weighted. And I think you also mentioned labor shortages in the prepared remarks. So were either of those impactful in deal close timing in the quarter versus expectations? And maybe you can talk about what's embedded in the guide, in the 4Q guide for each of those. And when do you expect to see more broad-based improvement there?
Vikas Mehta: Yes. So Taylor, first of all, thank you for the question. As we think about overall enterprise sales cycles, as Frank mentioned, it is a 6- to 12-month cycle. And we see variability. So we don't guide our project to what a particular quarter will have in terms of the large deals. But overall, we are seeing good activity and have good visibility in terms of those larger deals. As you think about just the secular tailwinds that we have been seeing through post-pandemic as well as the overall economic shifts with rising labor cost, supply chain shortages, the conversations that we are having externally are clearly resonating. I had 2 conversations with 2 CFOs of retail/e-commerce companies last week. And both of the CFOs were really interested in understanding how they could use planning as a strategic advantage. As we think about our guide, we are not insulated by those -- the macroeconomic forces in terms of inflation. And we continue to monitor the impact for our own operating margin impact. In terms of the revenue guide, as I said, we feel confident about the demand outlook and our ability to execute against that.
Frank Calderoni: Taylor, one of the things I believe you asked at the beginning was as far as just the hiring and whether or not that has any impact, I would say every company around today is not insulated from the global trends and the pressures from the labor market. But for us if I look at where we are right now, it did not impact us as it relates to our sales performance. One of the things that we are doing, which I think is advantageous for us, is that we are leveraging our platform just thinking about labor and how best to manage labor, and specifically our own product at PlanIQ to bring intelligence into how we're looking at how that market could unfold, what our needs are, let's say, over the next couple of quarters. And we're using more predictive insights that is allowing us the intelligence to, in some cases, hire ahead in some of the evergreen reps that we've opened and been able to be able to provide in the marketplace. And so that forward thinking I think is allowing us to mitigate as best we can some of those market pressures around the labor market. And the more that we can drive that, the better we're going to be able to continue to focus on our customers and our partners in meeting the demand that they have. And as I said before, really pleased about the continuous investment that they're making in Anaplan to continue to drive their transformation.
Operator: Your next question comes from the line of Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Maybe to start with Frank, Frank, what are you guys seeing as far as just the continuity within the sales organization? And are you seeing -- we started to hear some murmurings of a little bit of a pickup and churn within the sales organization. What are you guys seeing internally? And overall, how are you seeing the sales organization ramping? And then I have a follow-up for Vikas.
Frank Calderoni: Okay. So Stan, again, good question. I think it ties to the previous question, so let me expand a little bit more. So one of the things, as I said, all companies are dealing with, I would say, some level of churn in the market just based on where things are and the dynamics of how that's playing out. We're leveraging, as I said, our platform, our technology to be a better plan, so we can try to stay ahead of that as best we can. And I think we're seeing signs of progress in that. A couple of things I just would share with you, just kind of looking at, because I think what you're getting at to is our capacity. And I'm really feeling good about our capacity right now. I'm confident, first of all from an Anaplan perspective, quota carrying, we have our fully ramped reps are the highest we've had in several quarters, which is a good sign. It goes back even to Taylor's question about being able to meet our current demand. Secondly, with our partners, we continue to work with them to expand the ecosystem and invest in the ecosystem. We had - if you look at our partners, the certified model builders are up 70% year-on-year, which is a good indication. I recently even had a conversation with one of the senior leaders at Deloitte where we're partnering together to continue to invest in that, so that they have the ability to continue to expand. And then from a customer perspective, 1/3 of our customers currently have a center of excellence. And the number of customers with a center of excellence, as far as the number of COEs, has grown about 100% year-on-year. So all those dynamics even while there is churn I would say all over, and there's an increased need for talent, we're investing in that. And I think overall if you think about certified talent around Anaplan, that's up about 84% year-on-year. So again, we're trying to manage that as best we can. It's great to have Bill on board. He's coming up on his annual -- first anniversary and another this quarter actually. And he's continuing to drive improvement in focus, as you can see with the linearity. He's providing further discipline as far as the execution of the comments. I mentioned earlier about the healthy deal volume and new customer growth. And then he's also working on the customer attention, right, so overall customer success with the expand business as well as with our renewal business and the strength that we're seeing there. And the other thing I would say just to close out is what I found Bill's been able to do so effectively in the time he's been here, is to continue to drive a further emphasis on sales culture, one of accountability, execution and recognition. And I think that goes a long way because it spends a lot of time investing in the people in the organization. And that's going to help mitigate, especially with the labor dynamics that I mentioned before.
Stan Zlotsky: Got it. That's very helpful. And Vikas, a 2-part question for you. In the quarter, anything to call out as far as FX impact? I noticed that there's a little bit of a delta between deferred revenue and the balance sheet versus cash flow statement. And then also, you noted there is some timing impacts on billings and CRPO in the quarter. Any kind of quantification you can give us to help us understand what the actual impacts were in the quarter?
Vikas Mehta: Yes. So first of all, thank you, Stan. On FX, there was no material impact this quarter as it relates to FX. As you think about the second part of your question in terms of just why we even shifted to CRP, we were seeing early renewals or the timing of renewals as well as the duration create noise. And that's why we shifted, and that's why we highly recommend to look at trailing 12-month metrics as it relates to both billings as well as RPO bookings. So if you look at it from that perspective, you get to see trailing 12-month billing growing at 32% as well as CRPO bookings growing at 30%, which is a clear indicator. So again, there'll always be those fluctuations, and looking at trailing 12 months is the best approach to think about business.
Operator: Your next question comes from the line of Brent Thill with Jefferies.
Brent Thill: Thanks, Frank. I think the one thing we're all trying to reconcile is if your quota-carrying team is kind of at a high, and partners are plugging, your CRPO comp was actually easier, yet it decelerated 5 points. And so many have been asking, are some of the supply chain issues causing companies to defer their decision to act this quarter as they're dealing with bigger issues? And perhaps this just pushed deals into Q4? I think you were asked earlier, but I don't know if we got a clear answer. So I want to circle back on that and just see if there's something going on. Because what you're saying versus what's happening with the numbers is there's somewhat of a disconnect, and everyone's trying to reconcile what you think happened in the quarter?
Frank Calderoni: So Brent, I appreciate the question. While deal volume was solid, and we mentioned this on the call, we didn't have as many large dollar deals this past quarter in Q3 as we did in the previous quarter. I know last quarter, we talked about having six million-dollar deals when I talked about large deals. So the key thing that we're calling out here, which the drive -- it's really driven the variation between Q2 and Q3 is driven by the timing of in the enterprise cycles, not necessarily a change in demand trends. So I just want to be clear on that. And I think Vikas stated this earlier, but as you know with enterprise sales, our sales cycle goes back like 6 to 12 months. And we have historically seen variations in those cycles as far as, let's say, deals that are over $1 million, which is just something we just called out. And the other thing which I'll also mention, as I said earlier if you look at the million-dollar deals, even though there were fewer of them than last quarter, the ARR was still up 39% year-on-year. So again, similar to the comments I mentioned before, we feel good about the pipe, the quality of deals that we have in the pipe. Those that are working on transformation, the conversations that I'm having with executives that are increasing because of the need and focus that they have on driving agility in their business. And then the last thing which I'll close on the question, which is what I said earlier about Q4, how we sit today, we feel we have healthy pipe for the quarter. We are seeing the larger transactions, let's say, more of them in later stage, which is a good sign. We are continuing to be focused on our linearity. And then also productivity tends to be higher in Q4 from a seasonality perspective. And then I've said before, the strong demand from customers and partners is there. So I don't want to give any indication of anything other than just some of the variability that we see from time to time with some of the over $1 million deals.
Operator: Your next question comes from the line of Dan Church with Goldman Sachs.
Daniel Church: I guess when I think about the 119% expansion rate, can you kind of help us break down that strength and think through, either from a new logo or earnings basis standpoint, what you're seeing in the market with respect to supply chain and sales performance management? Particularly in the context of the macro environment with supply chain and labor shortages that we're seeing today. And then as we look into kind of next year, how are you thinking about the durability of that 119% and kind of net expansion rates into '23 -- '22, excuse me.
Frank Calderoni: So let me start, and then I'll have Vikas add some additional commentary. So I'll start with the comment that I've talked about many times, which is how we differentiate Anaplan in the marketplace. And that is the ability to offer a Connected Planning solution to our enterprise customers where they can begin in any function and start to connect their processes. And I think your question goes into, with the current environment, are we seeing even more activity as it relates to supply chain and sales performance management. And the answer to that question is yes. But I would also say that we see a continuation of the connection back into finance through a lot of those processes. I don't know if you were able to -- some of you watched Anaplan Live! a few weeks ago but I got a chance to interview 2 of our customers, one head of sales for Americas in ServiceNow as well as a finance executive in Johnson & Johnson. Both of those customers have been looking at finance aligned with sales as it relates to ServiceNow and finance aligned to supply chain as it relates to Johnson & Johnson. And I think those are 2 areas are 2 great examples of pretty good, strong customers that have invested in our platform, that are looking for the extended nature of that. When you look at the overall mix of our business outside of finance, it's still in that 40%, 45% range that's in supply chain and sales performance management, which we feel good about. We've shown that the whole pie is growing, but each of them are growing probably at similar type rates as I just talked about the connecting points.
Vikas Mehta: Yes, just to build on that, Frank, as we see NRR at 119% this quarter, this was driven by strong expand motion where 67% of our net new bookings came from expand. Secondly, retention rate, as Frank mentioned earlier, was the highest over 9 quarters. And as we look forward then into the next year, while we don't guide NRR, we definitely aspire a steady improvement. And we think about that 120% as a good benchmark for us.
Daniel Church: And just a quick follow-up for me. Looking back I guess relative to this time last year, any kind of commentary as to what you're seeing from verticals that may have been heavily impacted from the pandemic? Are we back to or above pre-pandemic levels? Or are you still seeing some similarity from the overall demand environment?
Frank Calderoni: We mentioned last quarter, and I would say it again this quarter, we're starting to see some of the verticals like hospitality, entertainment which were significantly impacted at the start of COVID for us, start to come back into the pipeline. I mentioned that last quarter, and they're still progressing through the pipeline. So we're seeing more of that. I wouldn't say that those are back to pre-COVID levels, but it's promising as far as the early-stage development and how it's starting to progress. Yes, the strength for us has been in technology, in retail, in healthcare. So that -- those businesses just continue. That goes back to the NRR point as far as how we're continuing to see expand opportunities progress.
Operator: Your final question today comes from the line of Michael Turrin with Wells Fargo Securities.
Michael Turrin: Appreciate you squeezing me in. I've got a question on the expansion rate that's holding consistent at 119%. More new bookings the past couple of quarters and sort of good quarter of the existing base than historically was the case. I'm just wondering if there's anything you can add on the net new side of the business? How does that look from your perspective? Is there anything you can add to help compare average deal size for new lands versus either last year or what you were seeing pre-pandemic levels?
Vikas Mehta: Yes, Michael, thank you for the question. So as Frank mentioned, this was a strong land quarter for us as well as we saw good retention rates. So as we dive deeper into the -- call it the new customer growth, the number of deals that we had this quarter was a high mark for us, with overall customers above 1,800. And 50% of Fortune 50 is a customer, that also just shows the strength of our platform. As you think about the new customer growth, just the net new additions, as Frank shared, we had a 50%-plus growth in that particular metric. And this is the highest we have seen in the past 9 quarters. Also, as we shared earlier, we saw fewer million-dollar deals compared to what we have seen before overall, which weighed on the ASP. But overall, I would say, a strong land quarter for us from a deal volume perspective, and a very healthy quarter from a retention rate as well as an expand perspective.
Michael Turrin: Vikas, if I can just squeeze one more in. You're guiding for revenue slightly down sequentially. It's not something we've typically seen from the model. The additional subscription disclosure does help. But is there anything different in terms of how you're framing guidance as you take over the CFO role? And you mentioned no FX impacts this quarter, but is that also consistent with what you're expecting into Q4?
Vikas Mehta: So Michael, great questions there, so I'll break it into 3. First, I will just highlight from my perspective as I think about the future, I believe in creating more transparency, trust and credibility.  Second, specifically if you look at the Q4 revenue guide, as you rightly mentioned, looking at subscriptions separately is very important. And from that perspective, we had our Q3 subscription revenue at 139.3 million, and we are guiding to 143 million, so definitely an increase over there. And that's what we would guide you to look at in terms of just the underlying strength of the platform. And finally, I would say that even in terms of looking out, we -- as Frank shared, we feel confident about our pipeline and our capacity from a sales execution perspective.
Operator: This concludes today's Q&A. Frank Calderoni, I'll turn the call back over to you.
Frank Calderoni: Thank you, operator. I'd like to thank our employees, our customers and our partners and investors and other key stakeholders as we value this strategic partnership. Please join us again next quarter for our Q4 and FY '22 earnings release. Have a great afternoon. Thank you.
Operator: This concludes today's conference call. You may now disconnect.